Operator: Good morning and welcome to the Earnings Conference Call for the First Quarter 2020. My name is Brandon and I’ll be your operator for today. At this time all participants are in a listen-only mode. [Operator Instructions]. Please note this conference is being recorded. And now, I will now turn the call over to Jason Stanley. Sir, you may begin.
Jason Stanley: Thank you, Brandon. Good morning everyone and welcome to Tidewater’s earnings conference call for the quarter ended March 31, 2020. I’m Jason Stanley, Vice President of Investor Relations for Tidewater. Thank you for your time today knowing many of you are doing so from home. I’m joined on call this morning by our President and CEO, Quintin Kneen; our Chief Accounting Officer, Sam Rubio; and our General Counsel and Corporate Secretary, Daniel Hudson. During today’s call. We’ll make certain statements that are forward-looking referring to our plans and expectations. There are risks, uncertainties and other factors that may cause the Company’s actual future performance to be materially different from that stated or implied by any comment that we may make during today’s conference call. Please refer to our most recent 10-Q for additional details on these factors. This document is available on our website or through the SEC at sec.gov. Information presented on this call speaks only as of today, March 12, 2020 [ph] so you’re advised that any time-sensitive information may no longer be accurate at the time of any replay. Also during the call, we’ll present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in last evening’s press release. And now with that, I will turn the call over to Quintin.
Quintin Kneen: Thank you, Jason. Good morning everyone and welcome to the first quarter 2020 Tidewater earnings conference call. Allow me to start off by addressing the ongoing COVID-19 pandemic and Tidewater’s response at both the employee and operational level. I’ll then discuss some of the macro observations we’re seeing as a result of the pandemic before sharing our latest outlook for 2020, our consolidated quarterly results and then reviewing our operating segments in more detail. Last we spoke on our fourth quarter 2019 call. I emphasized the safety and wellbeing of our employees has always been our highest priority and noted that due to the nature of our business, we have well established protocols on safety and emergency communications. As the pandemic circumstances have progressed to current state, I’m proud to share that the entire team at Tidewater has demonstrated both the utmost professionalism and dedication to the task at hand both aboard our fleet and those office employees sheltered onshore. Social distancing, remote working and the rollout of new health and safety protocols have become the norm as we collectively strive to ensure every one of our employees and their families and the clients and the customers, they engage with remain healthy. I thank everyone for their efforts in working together to do their part to eliminate further transmission of the virus. Beyond our employees, we have experienced a number of direct operational impacts from the pandemic. Travel restrictions both internationally and at home have made crew changes where even allowed at all much more challenging. We’ve seen an increase in temporary accommodation cost due to requirement for crews to be quarantined for typically 14 days when embarking or disembarking vessels. As the global logistics infrastructure feels the strain of a displaced workforce, our ability to access technicians and parts to support drydocking has also been severely limited. As we look to the wider market impact, it’s helpful to set up the backdrop of the OSV industry and we’ve spoken about this in the past. It’s hard to find an industry that has more structural challenges than the OSV industry. Its customers are more consolidated. Its suppliers are more consolidated. It’s got no real [ph] barriers, entry and even as a proposed barriers, exit no real substitute market for the vessels or substantial degree of operating leverage. Its capital intensive, shortly cyclical and it’s fragmented into several hundred owners around the world. So for those of you who are still on the call, that doesn’t mean a well-managed OSV company can’t generate free cash flow, even in the current market environment. And the good news is, at Tidewater we’re still planning an expected to generate free cash flow in 2020. A big part of the call today will involve walking through our path to free cash flow generation in 2020 and beyond even given the sudden change in outlook for the industry. Before I lay out the Tidewater response to decreasing activity. I want to expand on the backdrop I just referred to because it provides the reasoning for the steps we’re taking here at Tidewater. The surest path to not being able to generate free cash flow is not adjusting the capital invested and the shore based footprint to the current state of the market. Fleet size does not determine your ability to generate free cash flow. A 150-vessel company, a 100-vessel company and a 10-vessel company can all generate free cash flow. But to accomplish this, the smaller your fleet, the higher your average specification needs to be, relative to the global active fleet. You can make money with highest spec 10-vessel fleet if you keep your shore based cost aligned and you don’t try and carry idle capacity. The higher specification boats will work and it will generate sufficient margins. Higher specification boats don’t always get higher day rate, but they get more work. They don’t get price, but they get volume and operating cost is the same. You’re simply increasing your active utilization. It’s the same with 100 or 150-vessel fleet. As you get larger, they need to be much higher and expect decreases you can make it up in fleet count. But you can’t carry idle shore based capacity or idle vessels. You can lose money quickly holding onto the belief that cash flow during associated with keeping in idle fleet and shore based personnel through these periods is an investment that will pay off. But vessel owners believe this because it has worked in the past. But oil fields are accustomed to downturn that revert back to a long-term growth trend line, that is not what is happening today. The industry is shrinking and that’s okay. But investing like it’s not shrinking has demonstrated by keeping fleet in shore based cost is the path for the [indiscernible]. Debt holders are the true equity holders in many vessel companies and they need to make the tough decisions that named equity holders have been unwilling to make. The process of shrinking requires making decisions on the fleet to keep, the people to keep, the customers to keep and the geographic spread. Determining the fleet to keep is fairly easy, modern large, fuel efficient tonnage with a regionally required bells and whistles is second nature to most operators. Determining the people to keep is about looking for those hard working and genius multi-hat wearing resourceful individuals who aren’t afraid of change. The tough part is, this industry is actually full of this type of individuals that is what makes shrinking hard for many companies. Determining the customers to keep, it’s based on who treats you best. When you’re in a structurally weak subsector as I outlined above, you work with those customers who don’t abuse the natural power that exists in these situations. These customers are out there and its times like these that reinforce who to work with and who to avoid. Determining the geographies to focus on, it’s based on the equipment and customers you decide on, predicated generally on where you are currently. But trying to everywhere is the key to failure. Leveraging a scalable shore base is key to maximizing margins, technology is the key to scalability. The best outcome for the industry is to quickly get to a smaller set of super regional consolidators that dominate a particular geography and who leverage off of small shore base footprint. Historically, Tidewater has been the player that has a large average fleet that was everywhere geographically and focused on utilization. It’s a strategy that need money in a market that was always referred into an upward sloping mean trend lying in demand. I’m not saying it earns us cost of capital. But it was a strategy that didn’t lose money. Over the past 18 months, Tidewater has been moving to a scalable and more focused infrastructure. Over that type year, you’ve heard us talking about leveraging technology and reshaping the geography focus. But it’s the cultural change process as well as change in business strategy and a change in management process. Shrinking involves factors that increase the cash burn in the short run. Some factors that generate cash in the short run and done right will set you up to be free cash flow positive in the long run. Shrinking involves severance cost per personnel, the cost of shutting offices and the cost of demobilizing vessels and inherently inefficient process as fully crewed vessels without revenue are burning fuel. But there are offsetting benefits such as the working capital liquidation proceed from asset disposals and a temporary benefit from delaying drydocks. As mentioned in the backdrop, the OSV industry has its challenges. But it has a base load of non-drilling related work that keeps a substantial number of boats working. The vessel industry isn’t going away, but companies must demonstrate flexibility in their operations to meet the changing demand of the market or they will go away. It’s a fool’s errand to try and predict where a vessel demand will stabilize while the market is in turmoil. But it’s necessary to make some preliminary assessments and while I’ve been on this errand for the past six years, so why stop now right. So we anticipate global vessel activity to begin in 20% to 25% over the next year, that’s another 400 to 500 vessels in excess of demand, rough estimates. Chasing that number to perfection is another fool’s errand but that’s the order of magnitude we’re seeing. And you may recall from our previous calls, many of these vessels just went through their drydocking. So they will fight to compete with other vessels working in the market. This leaves to a quick pull back in prevailing day rates. What makes the current circumstances even more problematic than the previous unpleasantness that began in 2014 is that there are very few non-cancellable contracts this time and no non-cancellable contracts at high day rats. Last pullback was buffered by some five-year non-cancellable contracts that were cut in summer of 2014 when rates were at their peak. You may recall that we had handful of such contracts that just rolled off last year. But there is no protective buffer, there is no cofferdam as we would say, at this time. So we’ve got to lighten the ship, that’s the only way we’re going to sail through the storm. You can’t sail through the storm dragging a fleet of anchors. During these times, you’ve tossed up overboard that perhaps you wish you didn’t have to toss. My objective is that, by this time next year we’re down to a short coat of primer. The vessels and related fleet that were targeted for recycling are on their to the scrap yard. The marginal specification vessels that we’re trying to sell into secondary markets, they’re going to scrap. There’s quite frankly not enough economical layup capacity in the world to put all these vessels in layup. Those yards are still full, paying premium prices for layup capacity while deteriorating vessels are less expensive and more equipped locations that doesn’t make sense, someone will do it, but not us. We will be getting even more aggressive and high grading the fleet through scrapping than we have been in the past and we’re already more aggressive than anyone else out there. This goes back to what I was discussing earlier. Get the fleet average specification up and stop carrying idle vessels. This is done by scrapping and divesting lower specification tonnage. Prices for scrap deals are also going low as the world doesn’t need much steel today. But holding out for higher scrap prices is another mistake ship owners make. You end up paying more layup cost than you gain in higher scrap prices. So you [indiscernible] race to the recycling in order to lower the cost of layup and provide some cash from the idle steel. We anticipate generating $39 million of cash from vessel disposals in 2020. We generated $10.5 million in the first quarter. We still anticipate generating $39 million of cash in 2020 from vessels disposals. But more vessels will likely to be sold to reach that amount. You will notice that we wrote down the value of available for sale fleet by $10 million in the first quarter to reflect this new reality and as we go through the second quarter, we will be making a determination of which vessel will move towards asset held for sale category. On our fourth quarter 2019 call, we announced backlog of $440 million for work in 2020 since that time the effects of demand reduction at oil price driven, CapEx reductions has resulted in approximately $63 million in reduced backlog from early contract terminations and $8 billion in reduced backlog from delays of getting vessels back on higher because the vessels are in shipyards. They’re shutdown to virus containment related delays. So summed up and deducting the first quarter revenue of $116 million that leaves backlog for the remainder of 2020 at $253 million. Our primary backlog risk comes from those vessels doing drilling support work, as stated previously production support is expected to remain relatively stable although shut-ins of offshore production platforms may cause additional cancellations to the oversupply of oil worsen. The vessel spot markets has all but disappeared for the year so we anticipate a significantly smaller part of our revenue for the remainder of 2020 will come from this market than we would typically see. All told, we anticipate a revenue loss of approximately $100 million in 2020, $63 million in cancellations, $8 million in drydock delays that slip into 2021 and the elimination of $29 million spot market work. With that revenue revenues approximately $45 million of operating profit. In addition, we’re looking at approximately $13 million of cost associated with deactivating those vessels coming off higher and additional layup cost. On the frictional cost side, that is the cost associated with shrinking the shore based and the pandemic driven inefficiencies. We’re estimating those costs to be $7 million for the remainder of 2020. That’s $65 million less in cash than we anticipated at the beginning of the year. Offsetting that, we’ll be spending $20 million less in drydocks and I anticipate approximately $30 million in additional working capital liquidation. Accordingly, we see the net impact on 2020 as a deep freeze in free cash flow of $15 million. At a very summary low for the full year 2020, we are anticipating revenue of approximately $395 million with $116 million recognized in the first quarter, $253 million in backlog and $36 million anticipated to booked based on options and existing contracts. The revenue is at a gross margin of 35%, so $138 million from core operations. Take from that the $13 million of frictional costs of vessels going into a layup and the $7 million of pandemic inefficiencies and you’re down to $118 million. Take $81 million off for general and administrative expenses and you’re down to $37 million. Drydock is at $33 million, get you down to $4 million. Then we have the proceeds from asset disposals of $40 million, working capital liquidation of $30 million and taxes and other of negative $9 million. All summed up at $65 million of free cash flow, very high level and it’s down from the $80 million as we anticipated as of the beginning of the year. We also have $18 million of net interest expense and $10 million of principle payments for those of you, who think you should include those numbers in determining free cash flow [indiscernible]. So what do we have to do different to meet these estimates? We have to stop doing drydocks. We have to quickly layup and de-crew idle vessels. We have to collect what is due from us from large multinationals and national oil companies and we have to sell vessels, all achievable. Of course there are risks to these estimates. So let me walk you through what I see as the bigger risk. As you may expect, our customers are requesting rate reductions where possible. Which is the same process we went through during the previous downturn? This time there’s very little movement to make, if any. Our customers appeared to understand that these cost savings cannot come from their supply chain this time. But downward pressure on prices continues regardless. We have factored all of this into our $100 million estimated decrease in 2020 revenue along with the absence of any real spot market and vessel cancellation. Operational expenses are slightly higher due to the previously mentioned logistical challenge we have had to make associated with the quarantine periods for mariners. When vessels complete contracts and come off higher we’re moving swiftly as possible to layup the vessel and de-crew, minimizing any ongoing cost in the absence of revenue generation. We believe we have a good understanding of this cost today. But within the global shipping industry not just the OSV industry there are approximately 150,000 mariners around the world, who are awaiting the crew change. And on that note, I believe the International Chamber of Shipping is doing an excellent job working with authorities on this issue. There may be other costs that we do not anticipate but we have factored in $20 million of additional threshold cost and we’re comfortable with this estimate based on everything we know today. Stopping drydock activity is a typical lever shipping companies pulled during times like these, in the OSV industry we all did this in the 2015 to 2017 time period and as we have discussed on previous calls that resulted in an enormous wave of drydocks and deferred maintenance from 2018 until now. The build cycle amplified this, but here we are again. We can delay drydocks and we will, but we can’t stop drydocks. We will look to catch up in later years. But the savings in 2020 are achievable. We spent $25 million of our $53 million 2020 drydock budget in the first quarter which was all according to plan. The breaks are on all drydocks spend now but it’s a bit like the breaks on a boat. It doesn’t stop as quickly as you would expect from a road vehicle. We’ve got vessels and yards that are in pieces that is the boats are in pieces literally and the yards are in pieces figuratively as we can’t get people or technicians on location to complete the work during to virus related travel restrictions. We anticipate another $8 million of drydock cost in the second quarter as this work comes to an end and no drydock spend in the third and fourth quarters. Accordingly, we anticipated $20 million of our savings in 2020 from the deferral of drydock spending and again we feel comfortable of this estimate. We have been building working capital over the past six months and I anticipate that we will significantly liquidate this balance as we go through the remainder of 2020. The substantial majority of our accounts receivables and our long dated accounts receivables are super majors and national oil companies. It’s frustrating when industries with the way with all the pay [indiscernible] pay timely. But we’re currently not concerned about the collectability of the outstanding balance and we feel comfortable in our estimation of achieving $30 million of liquidation in 2020. Part of the liquidation is correcting for the build over the past six months and the remainder will be the natural decrease that comes from decrease in activity. We have $39 million forecasted for proceeds from vessels disposals. We sold nine vessels for $9.5 million in the first quarter. We received another $1 million in deposits for vessels under contract to be sold. Year-to-date we have $20 million sold or under contract to be sold. We may end up selling more vessels in 2020 than we originally envisioned as we shrink in high rate to free even further. But we still feel comfortable with $39 million estimate for 2020. The generation of free cash flow remains our key focus and is the key determinant in our cash incentive program. As we look out further to 2021, we need to lighten the ship. We won’t have the working capital liquidation benefit in 2021 and we will have to resume some level of drydock activity. In addition to the three actions I just noted as key to 2020 free cash flow generation. We must focus and concentrate the shore based footprint fleet mix and the customer base. I’ll now move on to the results for the quarter as we mentioned in the press release each of our four regions at higher average day rates, lower overall operating cost and higher operating margins as compared to the previous quarter. This was achieved with our lowest G&A cost level ever on normalized $20 million per quarter or $81 million annually. In the first quarter of 2020, Tidewater generated a revenue of $116 million or 5% or $6 million decrease from the same period in the prior year. This was largely driven by operating an average of 15 pure active vessels, a result of the previous plan on reducing, refocusing and as a result of high grading the Tidewater fleet. With the current pullback this will accelerate, as a result of delays in getting vessels on higher and mid-March as the pandemic intensified active vessel utilization decreased to 79% in the first quarter down from 81% in the prior quarter. Our general and administrative expense of $21.4 million included $1 million related to the impairment of receivable in Nigeria from a small intermediary. But even including this non-cash item we had a 21% decrease year-over-year resulting from decrease headcount and lower stock compensation cost. The result is a normalized run rate of $81 million a year which is down $64 million from the merger pro forma run rate of $145 million. Net cash flows used by operating activities for the quarters was $27.5 million and free cash flow was negative $15.2 million. The negative cash flow numbers for the quarter were due to the planned drydock spend of $25 million and the building working capital which incidentally wasn’t planned. But which we anticipate to reverse over the remainder of the year. Obviously our first quarter drydock program was done to prepare the business for what we believe will be a better market over the improving demand and increasing day rates which we did begin to see in the first quarter. As I mentioned previously, we have a few vessels stuck in drydocks around the world that we’ll be completing in the second quarter. Looking onto our results at more regional levels. Our Americas segments saw vessel revenues decreased 10% or $3.4 million during the quarter ended March 31, 2020 as compared to the quarter ended March 31, 2019. This decrease is primarily result of four fewer active vessels and the reduction in active utilization from 87% to 86%. However average day rates increased by 4% partially offsetting these declines. Vessels operating loss for the Americas segment for the quarter ended March 31, 2020 was $1.2 million which was $100,000 more than the operating loss for the year ago quarter. The decrease in revenue was merely offset by the decrease in operating cost. In the Middle East, Asia Pacific revenue increased 21% or $4.4 million during the quarter ended March 31, 2020 as compared to quarter ended March 31, 2019. Active utilization for the most recent quarter increased from 76% to 78%. Average day rates increased 9% and average vessels in the segment increased by four. The Middle East Asia Pacific segment reporting operating loss of $900,000 for the quarter ended March 31 compared to an operating loss of $1.2 million for the year ago quarter. Activity remains high well Saudi Aramco continue to increase its demand for vessels in a region where availability is tight as is crew access due to virus related travel restrictions. For Europe and Mediterranean, our vessel revenues increased 3% or $900,000 during the quarter ended March 31, 2020 as compared to the year ago quarter. Average day rates for the same period increased 14% because of increasing demand for vessels in the region. Active utilization also increased three percentage points during the quarter compared to the year ago quarter. The vessel fleet decreased by four active vessels which partially offsets these improvements. The segment reported an operating profit of $1.5 million for the quarter ended March 31, compared to an operating loss of $3.3 million for the year ago quarter. For the North Sea in particular we saw the spot market largely evaporate in the past 45 days with drilling cancellations and a flood of more than 30 PSVs going idle, which is lowering the day rate of the occasional spot market higher. Vessels without a high probability of moving onto additional work are being put in layup. We have laid up two vessels recently and are likely to send more to layup if the spot market continues to remain weak in the typically strong summer season. In West Africa, where vessel revenues decreased 27% or $9.6 million during the quarter ended March 31, 2020 as compared to the quarter ended March 31, 2019. The West Africa average fleet decreased by 10 vessels during the comparative periods. Active utilization for the segment decreased from 77% during the first quarter of 2019 to 68% during the first quarter of 2020. Vessel operating profit decreased to an operating loss of $4.9 million for the quarter primarily due to a decrease in active vessels coupled with higher operating cost from higher than anticipated downturns. Despite the expectations for an improving quarter, with drydock wrapping up in the regions. We were impacted by the untimely combination of virus related challenges and oil price collapse. And so well it’s difficult to see past these turmoil. There is a likelihood of steep recovery in the future. It’s not reverting to an upward sloping demand trend line. It’s a downward sloping one. But it’s still reverting upwards from here. And on that note Brandon, let’s open it up for questions.
Operator: [Operator Instructions] and from Clarksons Platou we have Turner Holm. Please go ahead.
Turner Holm: Hope you all are keeping safe and Quintin thanks for the detailed cash flow outlook in your prepared remarks. It’s certainly helpful. First, I just wanted to clarify something, there’s been a major drilling company as you know that filed proactively for Chapter 11 and on back of that. I guess there’s been some investor speculation that other oil services companies may follow suit. I assume I’m correct in saying that you all are not considering that strategy, is that correct?
Quintin Kneen: Absolutely not. I mean again we’ve got a very manageable debt load and we’re looking to be free cash flow positive. Certainly not in any plans that I have today.
Turner Holm: I wouldn’t expect so, but I thought I’d just make the point. And then secondly, you discussed some of the structural issues with the industry, Quintin. To that regard, your consolidation has been off discussed topic and this environment there have been some key lenders to the industry that have been beginning to convert debt equity in some cases. And so I was wondering if you all are seeing opportunities to take over bank controls or in some way participate in consolidation without necessarily stretching the balance sheet.
Quintin Kneen: Absolutely. Any type of legitimate cooperation whether it’s managing vessels for other people, pooling vessels, outright consolidation, non-recourse debt structures where you got built off balance and you get a little bit of the upside with a call option on both. All of that is, out there and being discussed and I would say that, over the past four weeks. The activities and those discussions have heated up. So my hope is that, we’ll see more of that if we can’t do outright consolidation because of debt loads that are out there perhaps there are some other cooperative arrangement that’s of course legitimate but allows us to act us a team in defending the industry.
Turner Holm: Sure and then sort of lastly, I guess, I wonder how you think this cycle is going to play out in the medium and longer term. You mentioned that, this cycle as seeing faster fall compared to what we saw post 2014 really due to the contract terms. But then I guess I wonder if you might also expect a faster recovery at some point out in the future, just given the lack of new builds and high scraping in place. Just curios on how you think the cycle plays out?
Quintin Kneen: My final remark in the prepared remarks was trying to hit at that which is. There is going to be a reversion to the mean, even if it’s a downward sloping trend line and we’re well below that mean line spec. So I do expect this business to pop up. I don’t know when it’s going to be. There’s a couple of areas that I’m concerned about from a long-term recovery standpoint and quite frankly, the continent of Africa. We’ve really seen a quick pull back by majors and super majors in that area. And I’m not sure that there - they have the ability to go back, quite frankly. And I’m worried about if the pandemic takes hold in the continent of Africa, how long it takes to clear. So they are all regions of the world that I worry about coming back slower and West Africa is one of them. But I don’t worry about for example, what you’re talking about the quick snap back. I expect that in North Sea, fully expected. It’s the most reactive market out there. It’s an open market. It’s a free market. They clear faster than any I think - they naturally clear faster than any market. So I do expect to see that in the North Sea, I see in the correction center. But there are certain areas principally West Africa that I’m worried about. Asia has long been oversupply and we’ve talked about this beginning in 2014 downturn. I don’t think it gets any worse. But I don’t think it accelerates any faster.
Turner Holm: Okay and I guess I have a more follow-up maybe while I have you on the line here. And not just how you see the activity towards developing through the year and you mentioned something on the order of 20% to 25%. How do you kind of think through those scenarios? I’m sure there is a lot of sort of sensitivity on the upside and downside. And presumably that’s 20%, 25% is the basis for your cash flow bridge that you build this. Is that 20%, 25% is that something like? How do you think about that relative to rig count so you can kind of track it through the year and get a sense of where you all might land from a financial perspective? I guess that’s the question.
Quintin Kneen: Yes, I appreciate the reason for the question and as I mentioned, it is a bit of fool’s errand. Trying to grab that knife as it’s falling, it’s very difficult. But what I’m basing that on is, what I’m seeing around the world, what I’m seeing in vessel cancellations and generally what I’m seeing in activity levels where we were anticipating the spot market that didn’t happen. I think that when we’re going through periods like this, I think it’s important to prepare for those types of downturns and what I wanted to lay out for everyone on the call is, even with a downturn of that magnitude. This company is prepared to weather the storm, quite frankly. The optimism that you were alluding to, there’s a little bit of that in me as well and I’m looking forward to seeing some of that material lines as we go through the year. It may not be that bad, but if it is that bad. We’re prepared.
Turner Holm: All right, thank you very much Quintin. Appreciated.
Quintin Kneen: Thanks Turner, stay safe.
Operator: From Baird, we have Patrick Fitzgerald. Please go ahead.
Patrick Fitzgerald: I wanted to ask about your $33 million drydock in 2020 and what that means for active vessels?
Quintin Kneen: Your question is, does that mean I’m decreasing the amount of active vessels as we go through the year?
Patrick Fitzgerald: Yes.
Quintin Kneen: Absolutely, it does. But a lot of those vessels have been on contracts that have been cancelled, so they’re just going into layup and they’re not a lot of those. But there will be some, they’re going to the scrap yard definitely the vessels that we had in layup prior to this pull back are more likely to go to the scrap yard to make room for these vessels that are coming off higher. Order of magnitude is hard to say right now. But it can easily be 20 to 25 vessels, could it more.
Patrick Fitzgerald: Okay, so in order to get those if they go onto layup to get those back out. You would have to spend $20 million that you were expected to spend this year, is that correct?
Quintin Kneen: That’s right. You will eventually have to spend that money. You can work with class societies to give extensions by the month. But again it’s a cost of the business and if you’re going to bring that vessel active or keep it active. You’re going to end up spending that money. So drydock is a delay provided you’re going to back to the same fleet count you were at, active fleet counts.
Patrick Fitzgerald: Okay and then are you seeing other operators do the same thing?
Quintin Kneen: Quite frankly I’ve been so focused on my own business. I haven’t been watching what other operators are doing over the past 30 days. But I can only imagine that everyone’s doing the same thing.
Patrick Fitzgerald: Okay, for the $395 million of revenue. Is there any way to break out how much of that is production versus drilling services?
Quintin Kneen: The drilling pieces give you much less, unfortunately it’s not because the vessels that get chartered don’t actually get charter for a specific task, sometimes they do but frequently they’re doing that. So really, it’s the demand piece that kind of incrementally impacts a group of vessels and so if you have four vessels that are doing both drill and support and productions maybe it’s goes down to three vessels or something like that. But as I look at the $395 million and you look at the amount that I indicated it was the spot market work, that work is still more drilling related and feel comfortable with it because if you’re still drilling, but it’s at risk.
Patrick Fitzgerald: Okay. And then, so these asset disposition $39 million for the year, $10 million roughly in the first quarter. I mean these are - is this all scrapped or some of them going into other industries?
Quintin Kneen: No we actually look to, I would prefer of course to sell them out of the industry into some other function and there’s a not a lot. I indicated there’s a not a real big secondary market for these vessels, but there’s some. Very often they get used for not oil and gas offshore related, cargo transportations, very often they can be used as shuttle vessels. So if you see some of them using small ones using in the barge work. So yes there’s an opportunity to sell these in to those markets and that’s what we do when we’re selling these vessel. So in fact the disproportionate number in the first quarter were actually sales as opposed to scrapping. But scrapping programs I think will be accelerated as we go into the second and third quarters.
Patrick Fitzgerald: Okay, so if your $39 million how many vessels is that, if you don’t mind me asking?
Quintin Kneen: The $39 million was originally, Sam how many were in the investment held for sale category.
Sam Rubio: 46.
Quintin Kneen: 46. Yes, so 39 equates to 46.
Patrick Fitzgerald: Okay and so is there a huge spread in price and sales versus scrap?
Quintin Kneen: So it’s not a lot in grand scheme of things. Scrapping you can probably net $200,000 to $400,000 and the sale is probably $900,000 to $1.3 million that dependent on the vessel specification size of the vessel, all of that. But that’s order of magnitude between those two active vessels [ph].
Patrick Fitzgerald: Okay, great. Last one to me. I just wanted to ask about the Troms Offshore subsidiary, there are six vessels there? Is that correct?
Quintin Kneen: There is. That’s correct.
Patrick Fitzgerald: And then what’s the status of those vessels? Are they working?
Quintin Kneen: So those are very capable North Sea vessels. I couldn’t tell you if they’re all working today. There’s two that are probably going to be idled here quickly. But those are the kind of boats that go back to work. I don’t worry as much about the more sophisticated Norwegian or North Sea tonnage because when I was talking earlier about the what - yes, this is a commoditized industry, don’t get me wrong. But nothing is perfectly commoditized. And so when it comes to higher spec vessels and larger vessels those are the ones that get the work and as I said before, sometimes they don’t get the price you want, but they get to work so they don’t get, but they get volume. So I think two of those are at hire right now, but not overly classified those vessels.
Patrick Fitzgerald: But you think that those vessels cover the $65 million of debt that’s, at that subsidiary?
Quintin Kneen: Yes. So I’m sorry your question wasn’t about the subsidiary it was about the [indiscernible] Norwegian debt on those vessels.
Patrick Fitzgerald: Yes.
Quintin Kneen: That’s perfectly long dated, yes. I’m not worried about that at all.
Patrick Fitzgerald: Okay, thank you.
Operator: From Rabadi [ph] and Company, we have Bob Rabadi [ph]. Please go ahead.
Unidentified Participant: Tough time, keep up the good work. There’s a lot of detailed information you had in there. You know at the end of the year, of course you did the review in terms of fleet and fleet adjustments right off 216 taking 46 out, four active, 42 not. And you’ve obviously done a lot of work because you’ve updated kind of information that and also the cost part of the equation, do you think you have kind of because embedded in your estimate, you have [indiscernible] huge granularity, will you do more in terms of - and I guess because what drydockings are, how things have changed because of COVID. Obviously, you reevaluated what that fleet looks like and how much you’re going to keep and how much not. But although it’s also dynamic too, so and that is probably hard to do exactly today. So do you anticipate updating as you did at the end of the year that fleet review because that’s an important component for driving cost down, I imagine?
Quintin Kneen: Absolutely, so yes. We’ve certainly have made some assumptions as we’ve gone through the processes of trying to drive where the business is going to go. When it comes down to the level of granularity as to which particular vessels are going to be going into just going right to the scrap yard and some going to layup. We’re still in the process of evaluating that and we’ll make that determination and we’ll make it this quarter as we go through little bit more of the reverberations from the downturn. But suffice is to say, that we’re going to be very judicious in managing the capital once we go through the remainder of the year.
Unidentified Participant: And then when you ran through the numbers though you did say that, SG&A you thought was still going to be around $81 million in deduction which is kind of what it was kind of pre, is that kind of a current estimate or are there other details too because I was a little bit surprised that number didn’t change so?
Quintin Kneen: Yes, definitely bought it down, from what I think we said on the last call which was $83 million. Right now we’re still evaluating what is the right shore based footprint. So I think there’s a room there too naturally. Obviously, we’re running a little lower rate than we have budgeted. There’s a couple of things that that are on my to-do list. One is, got to get a CFO in, eventually. Right. And that comes with its own cost, so that number is going to be added to the equation. But when I talked earlier about evaluating the shore based footprint. There’s definitely reasons to believe that number should be able to go down. There is a lower limit quite frankly just because not all of those personnel and really what we’re talking about is closing down offices and what we’re experiencing even in the offices that we’re in the process of shutting down like in Southeast Asia. You’re still in the hook for six months’ worth of cost as you run out leases and you run out personnel’s and severances and things like that. So part of it is just waiting to see exactly what the plan is and then exactly how much its’ going to cost us to get out of those activities. But yes, so when I think about G&A I think about it in cost per active day. So the numbers that we have historically run that are about 1,450 per active day. Okay as that actively count comes down that number should come down as well. However that range that 1,450 that’s within - that’s a useful number within a relevant range. If we step out of that range then the yes and fixed cost elements that I have to deal with. So that’s the way I think about G&A cost and as we go through the business and reset the business, that’s the number I think about.
Unidentified Participant: Well clearly obviously you have a task in front of you as you said for on a per vessel active fleet base, that’s coming down, so therefore you’ve got plenty of push there I’m sure, you recognized. And of course the other thing is, how disappointed will you be for the next six to nine months you having down something to consolidate with? All right because all of these things you’re doing in terms of fleet size downsizing, you, others, costs all those things become so much easier. And I guess I saw Harvey Gulf came today and say, they renewed two vessels, but they’re actively looking for consolidation and of course you’ve got one back doing something, you’ve got [indiscernible] so how disappointed because really it seemed to be as if there were plenty more options that were available kind of coming into the year, given the market really was improving and given where things are today. What seeing as if, the idea of consolidation being a key element for advancing in success become all the more instrumental, I think.
Quintin Kneen: Well 100% agree with you. I mean consolidation is the answer to this thought. Okay. My issue is getting the capital providers to understand that they’re not getting borrowed returns because unfortunately there’s just still not enough vessel companies that have cleaned their balance sheets. But as I mentioned when I was doing talked earlier there’s a lot more dialog going on now than there has been in the past six months. So I’m actually just pointing now that we haven’t gotten any more consolidation done either to us or somebody else in the industry. I welcome Harvey Gulf and others to consolidate the industry with us. I mean that’s fantastic. But yes, so I strongly believe that consolidation is the answer, it’s the best thing for the capital providers. It’s the best thing for the industry. It allows us to rationalize the fleet. My only caution is I just don’t want to do it and disadvantage my current equity holders.
Unidentified Participant: Clearly the benefits of consolidation today probably worth more money than kind of clearly what they were, three months.
Quintin Kneen: Absolutely. Anytime the margins get thinner, the benefit from reducing SG&A is all that much more disproportioned.
Unidentified Participant: Thanks Quintin.
Operator: From Southpaw, we have Ceki Medina. Please go ahead.
Ceki Medina: I’ve got a question about competitors and I know this was, I know you touched upon this a little bit before you’ve said I’ve been so busy working on my own team I couldn’t focus on the competitors. But I still got to ask, can you show any or give any color about the behavior of others out there? Is there a way to kind of compartmentalize how they respond to this challenge and last time on the prior call, you had shown amazement to the ability of others or the willingness to find cash and finance these drydockings either SPS [ph] or layups? Do you see that’s continuing or have people come to the end of the road?
Quintin Kneen: Honestly you know I still see it continuing unfortunately. Some of it a narrative in my prepared remarks was really talking to those competitors like stop doing this, scrap the lower end tonnage, you’re killing yourselves and you’re killing the industry along with it. Right, that’s my concern. A recent case in point, of course I’ve been really focus how are business, the type of our business. But I’m certainly - always going to - got feelers out on one of the competitors. What frustrates me more than anything is there, not that we’re just player. But a medium-sized player in Norway that just got build out is now putting boats to work at cash flow breakeven or just below that and that’s idiocy. Why would a bank refinance a company just so that it can put boats to work at breakeven? And if that kind of activity happens out there, unfortunately and it’s because vessel owners still think that this industry hasn’t changed and this industry is changing and so what I was trying to get to in my prepared remarks was just that.
Ceki Medina: Thank you.
Quintin Kneen: Thanks, Ceki. Talk soon.
Operator: [Operator Instructions] and from Nationwide, we have Christian Donoso. Please go ahead.
Christian Donoso: Thanks for the calls and for the details as well. Couple quick questions in terms of covenant compliance with the debt. Are you envisioning any issues there in the near future?
Quintin Kneen: No, in fact. We did a bonds incentive [ph] tender in Q4 and we really widened down the covenants which was quite fortuitous. We did it because we ended up having to pay 180 to buy back the bond so I try to do as much as possible in exchange for that premium. So no I’m actually not worried about the bonds at this point.
Christian Donoso: Okay and I know the debt is due in two years out. In your time, but any initial thoughts on when you guys are going to start thinking about refi year, any ideas?
Quintin Kneen: I’m always thinking about the bonds because we know we want to take them out. The issue with the bonds is that they have a significant make-whole even how, even to the day before maturity. There’s a minimum $1 million prepayment, penalty if you will. So it’s frustrating as long as there is their take back paper in the bankruptcy, there’s a lot of privileges around that debt. So it’s good paper and as a result, we’ll ride as long as I can because I don’t want to pay the high make-whole to call them. But we’ll see what happens.
Christian Donoso: Okay. And in terms of the markets, you mentioned on the last call that you were planning to exit, how are those exits proceeding and planning [indiscernible]?
Quintin Kneen: Pulling out of Brazil is always a multi-year process unfortunately and in Southeast Asia will be closing the office in June 30 and we’ll generally take all the shore based facility and management that’s going on there and move it into the Middle East region, so we’ll manage it out of that office. Brazil is a slow process, we have to wind ourselves out of the contracts and looking for any other opportunities. I was hopeful at the beginning of the year because the market was improving in Brazil as well as other places. But there might be a way to exit Brazil via sales process but unfortunately that’s off to table today.
Christian Donoso: I think that’s it. Just a quick one. In terms of the backlog you provided some visibility in terms of what is production services versus drilling or is not - you don’t have that granularity?
Quintin Kneen: Unfortunately when we contract the vessels very seldom are the contracted for a specific activity. Sometimes we can discern that by knowing where the vessel is working and so forth. But the reality is at this point, production departments and drilling departments are sharing vessels and trying to be as efficient as they can be and so we don’t have a good guide for that unfortunately.
Christian Donoso: Okay. Thank you.
Operator: And we have no further questions at this time. We’ll now turn it back to Quintin Kneen for closing remarks.
Quintin Kneen: Thank you, Brandon. I’d like to close today’s call by summarizing the Tidewater has become an agile organization as applying continuous improvement principles to optimize its operational processes and general administrative spend. We have created a technology platform at Maples Tidewater to advanced efficiency for our shore based and fleet operations. As a recent example in April, we achieved a five-day financial close with our global teams telemarketing [ph]. This is remarkable achievement that was inconceivable for Tidewater 18 months ago. This was possible because of our dedicated staff, efficient processes, technology and most importantly a new resilient Tidewater culture that embraces change. This is why I’m confident that Tidewater will overcome the obstacles presented to us. Tidewater has an experienced team that proven themselves in past downturns, who will overcome the unprecedented challenges before [indiscernible] who will once again prove themselves as we emerge from this downturn, strong and well positioned to capture the recovery market. Thank you and we look forward to updating you again in August. Goodbye.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for joining. You may now disconnect.